Jean-François Decaux: Good afternoon, everyone. Good morning to those of you in the U.S., and welcome to our 2023 full year results conference call, which is also being webcast. The speakers on this call will be Jean-Charles Decaux, Co-CEO; David Bourg, Chief Financial Officer, IT and Administrative; and myself. Remi Grisard, Head of Investor Relations, is also attending today's conference call. On Slide 4, 2023 has been a positive year for JCDecaux with a solid business momentum leading to an improved financial performance. Our revenue increased by 8.7% organically, driven by the strong growth of digital revenue above 20%. Digital revenues now represent more than 1/3 of our business at a record 35.3% for 2023. Programmatic revenues have been especially dynamic this year, growing more than 60% year-on-year with more than €100 million of advertising revenue in 2023.We remain best-in-class in ESG, as shown by our recent A List inclusion by CDP Climate. We have proved that we are able to have a positive operational leverage by growing our operating margin more than our revenue at plus 10% year-on-year despite a decrease in China given the soft revenue recovery. Our net results improved significantly by plus 58.3%. Operating cash flows grew in line with our activity at plus 19.8% year-on-year. While our free cash flow was close to breakeven this year, it is very clearly positive when you exclude one-offs of close to €100 million linked to contract renegotiations with positive long-term benefits that we have detailed during our H1 results. So at the end of the day, as you see a healthy business model leveraging on the recovery with a good momentum for out-of-home media with advertisers, but still affected by some one-offs and by the exceptional situation in China. So still room for growth in the coming years. On the next slide, #5, organic moving -- you will see that our Q4 organic growth has beaten by far our expectations at plus 10.3% compared to a guidance at around plus 6% as we finished well the quarter, including with some positive impact of late money from digital. China improved throughout the year and even grew above the Group average in Q4 despite non-renewal of our airport and metro contracts in Guangzhou. We continued to progressively bridge the gap between 2019 with Q4 being the first quarter above 2019 and our largest quarterly revenue ever. On Slide 6, you will see that our growth has been driven by the recovery of our transport activity and by the continued positive momentum of our street furniture activity, which is now well above 2019. Transport grew by plus 18.4% organically on the back of the recovery in mobility, including for air traffic. But it should be noted that transport remains far from the 2019 level at minus 24.7%, mainly due to China, which leaves us room for growth. Street furniture grew by 5.1% year-on-year and was 8.9% above 2019 levels in 2023 with a good momentum linked to the digitization and the solid demand from advertisers for this media. Billboard, a smaller business for our company, as you know, increased by 0.7% year-on-year, growing at healthy rates in its most digitized markets, while it suffered from the rationalization of sites and from regulations in France. On the next Slide, 7, you can see that all regions grew positively and 3 out of 6 grew double-digit. U.K. and North America have been strong from Q2 and continue to see a good momentum. France has had a strong Q3 and good Q4. Rest of Europe saw good performance in Southern Europe. And Asia Pacific has been growing double-digit, but remains well below 2019.Looking at the revenue breakdown on Slide 8. Street furniture represents more than 50% of revenue, while transport at 34.5% is still below its usual 40% level. France is our top country at 17.8%. And the Rest of Europe, our top geography together with their represent 47.4% of total revenue. On the next slide, #9, you can see that the advertising revenue is tracking and even outpacing air traffic in the U.S. as well as in the Middle East. Our revenue now is well above 2019, exceeds the current traffic level, which is quite promising for the other regions. On Slide #10, you will find our revenue by client categories. Our client portfolio diversification remained very strong with our top 10 clients representing less than 14% of our revenue. As you can see, our #1 client category, fashion, personal care and luxury goods continued to outperform, growing by plus 20%, well above our Group average growth rate and representing now 20% of total revenue versus 17% in full year 2022. This importance of fashion, luxury and personal care is a significant differentiation factor when you compare us to other media companies. Retail remained strong especially in H2 at plus 16%, travel at plus 36% and food and beverage were also strong. Tech and Internet decreased in 2023, but remained above 2019. Automotive, which was representing 5.5% of revenue in 2019, is improving quite significantly at the moment and should be back in our top 10 categories in 2024, driven by the launch of a lot of new electric vehicles. On Slide 11, our digitization continues to be a significant growth driver with digital revenue now making up to 35.3% of total revenue, a record level with the growth of digital at plus 22.7% in 2023 organically, above our long-term period growth rate of plus 16.3%. We continue to roll out larger screens selectively in prime locations, but analogue remained positive despite these changes, which show you the resilience of our media. Digital revenue breakdown is very much in line with our business mix, which shows that the digital is relevant and efficient in most environments, as you would see in the next slide. On Slide #12, the share of digital revenue grew in 2023 in our 3 business segments. In street furniture, digital revenue grew from 30.5% to 33.6%. Street furniture with the highest digital CAGR of the long period at plus 24.9% has now connect with the other segments for digitization due to new contracts and innovation. Digital brings flexibility and efficiency. In transport, our most digitized segment, digital revenue grew from 34% to 38.4%. We will continue to digitize, especially in metros, as recently in Sao Paulo or in Madrid as well as in China where digital is clearly underpenetrated, a significant room for growth in the future. In billboard, digital revenue grew from 29% to 33.6%. Digital is the winning formula for billboard, bringing a lot of additional revenue and gaining in visibility, while enabling us to densify our network. On the next Slide, 13, you see that 62% of our digital revenue is coming from 5 countries, namely, the U.S., U.K., Australia, Germany and China. While the U.K. and the U.S. are highly penetrated at 74% and 73% respectively, Germany and China remained pretty low at 38% and 21% respectively. The strong disparity in digital penetration demonstrates that we still have a lot of room for growth. On the next Slide, #14, you see that how this translated into our revenue. Programmatic advertising sales booked with a VIOOH platform have increased by 63.5% to reach €100 million, i.e., 8% of our digital revenues compared to 5.9% in full year 2022. We currently have 20,500 screens, trading programmatically in 22 countries. VIOOH manages a total of 45,000 screens when you include screens from third-party media orders. Programmatic revenues are so far mainly incremental, new money coming from targeted campaigns with higher CPMs. Moving to our contract win on the next slide. You can see that digital is now included 100% of the tenders, which is an important factor for growth. Same comment applies for contract renewals, which includes digital for all of them. On Slide 17, as you can see, we think that ESG has a cost that brings value to stakeholders, so it should be included in all tenders in line with the financial criteria. Although still not represented enough, ESG criteria becoming more important in the tenders for cities and other partners. We are showing here 3 examples of recent contracts where ESG played a key role in our wins. In Bordeaux, ESG made up 30% of the total note on par with financial criteria. In Hong Kong, our ESG policy was aligned with the priorities of the MTR. In Bangalore, our sustainability performance was key to win this contract with a very innovative airport, as expressed in the course on this slide, world-class advertising through the use of innovation and sustainability. In line -- on the next slide, in line with our 2030 ESG road map, we have shown a solid performance in 2023, as you can see with these 10 KPIs, which I will not describe on this call, unless you have questions in the Q&A session. Slide 19, best you can see on the next slide that our efforts and investments are recognized by the external rating agencies as we have best-in-class ratings in this 5 ratings methodology. It is also to be noted that our media has the lowest carbon emissions per euro invested in advertising, much lower than other media per audience. On this note, I will hand over to David to guide you through our 2023 financial performance.
David Bourg: Thank you very much, Jean-Francois. Hello, everyone. First, let's have a look at the summary of our financial results. Overall, we've had a positive set of results during this period. Our revenue increased plus 7.6% despite a soft recovery in China and saw negative impacts from currency fluctuation amounting to €76 million, partially compensated by a positive contribution of €40 million from change of scope with no material impact overall on our margins.Our margins increased more than our revenue growth despite facing inflationary pressures on our cost base and margin decreased in China plus 10% year-on-year in our operating margin, plus 25% in our EBIT before impairment charge and plus 58% in our net income group share, plus 14% before impairment charge. This enhancement is largely driven by our street furniture segment, which has also benefited from the positive impact of renegotiating certain contracts, as already indicated in our first half financial results. Consequently, we delivered strong operating cash flows of €478.5 million, increasing by €79.1 million, plus 19.8% year-on-year. Lastly, regarding our free cash flow, which remains globally neutral on the Group's cash position at minus €1 million. It was impacted by one-off past rental payments related to the completion of the contract negotiations, but I will come back to this. Let's have a look now at the evolution of the operating margin, which is at €663 million, an increase of 10% year-on-year versus 7.6% growth in revenue as we managed to limit our cost base increase to 7.1% despite facing inflationary challenges. The increase in rents and fees was limited to 6.2%, lower than the revenue growth, partly due to the renegotiation of some street furniture contracts. This allowed to offset the higher increase in rents than the revenue growth in the transport segment, due in particular to the soft recovery in China with a level of activity still below 2019, while rents have almost returned to a normalized level in connection with the lift of mobility restrictions. On the other hand, the operating -- the other operating costs have increased slightly more than our revenue at plus 8.2%, representing an increase of nearly €104 million, as you see on this chart. As for this increase stems from our staff costs, up by 7.4%, partly due to a 3.2% rise in headcount, salary pressures as well, notably in sales and digital functions and the end of government aid related to COVID. Now looking at how this evolution has impacted our operating margin ratios by business segment. On the right side of this slide, we see a positive valuation for the Group overall of 40 bps to reach 18.6% of the revenue, driven mainly by street furniture, the other 2 business segments declining. The margin rate for street furniture stands at 25.8% of revenue, an increase of 190 bps, reflecting its strong operational leverage benefiting as well from the contract renegotiations. The decrease in the margin rate of transport segment by 50 bps is mainly due to the decrease in operating margin in China, as mentioned earlier. Lastly, the 160 basis points decrease in billboard margin rate mainly comes from France where revenue declined due to restricted regulations on this format leading to a reduction in the number of sites and no room so far for digitalization. Moving now to the EBIT before depreciation, it stands at €266.2 million, showing an increase of €54.2 million, mainly driven by the rise in operating margin by €60 million. The variation in the net charges position between the operating margin and the EBIT represents a negative impact limited to €6 million with nevertheless the following variations. The net amortization of tangible and intangible has decreased by €24 million, mainly due to a decline in dismantling depreciation charges coming from the combination of the increase in interest rate and the decrease in inflation rate. The increase in net depreciation related to PPA, the purchase accounting, by €6.3 million, mainly stemmed from the acquisition of additional shares in Interstate in Chicago in 2022. Lastly, the one-off items, which represent net income of €33.4 million in 2023, mainly consists of reversal of provisions for dismantling an onerous contract linked to the contract renegotiations. At the bottom of the table, in the line a net impairment charge is the net impact of the impairment represents the net income of €60 million in 2023, mainly due to the release of provisions recognized in 2022 for €17 million in China in relation with the termination of the Guangzhou metro contract. This finally leads to an EBIT of €282 million, representing a positive variation of €89.3 million compared to 2022.Flipping to the next slide, we can observe that the net result Group share stands at €209.2 million, marking a notable increase of €77 million year-on-year. This is predominantly driven by our enhanced operational performance that I have just commented on, the increase of the net results from equity affiliates and the favorable impact on the IFRS 16 liabilities from the contract renegotiations. If we dive into the main variation on this peripheral chart, we witnessed a positive change of €30.4 million concerning the IFRS 16 adjustment, mainly attributed to the reversal [Technical Difficulty] renegotiated contracts, reflecting the improvement financial commitment of those contracts. There is a decrease in financial results by €8.1 million, largely coming from escalating discounting charges on non-current liabilities and assets due to a rise in the average discount rate over the period. However, this is partly counterbalanced by the reduction in net financial interest expenses on our financial debt, benefiting from the rising rates on our liquidity placements, while our debt is mainly at fixed rates. Taxes have seen an increase of €54.9 million, transforming from a net charge of €32.6 million in 2023 to an income of €22.3 million in 2022. This variation is attributable to the improvement in our results during the period. The effective tax rate is 13.6% below the year rate due to the reversal of provision on deferred tax assets in line with the better outlook. Lastly, there is a €43.4 million increase in results from equity affiliates driven by the impairment charge on Clear Media recognized in 2022 for €28 million as well as an improvement in net results of our affiliates under joint control. Turning now to cash flows. Let's first highlight in the middle of the table our operating cash flows, which stands at €478.5 million, marking an increase of €79.1 million. This increase is mainly attributed to a €60 million growth in operating margin and a $27.6 million decrease in net interest paid as we benefited from the rise in interest received on our liquidity, as previously pointed out.Our net investments amount to €355 million over the period, showing overall stability compared to 2022. Despite the increase in our operating cash flows, the decline in free cash flow during the period comes from an unfavorable change in working capital requirements, mainly due to the payment of past rents on certain contracts following the completion in the first half of the year of the renegotiations, as mentioned already in the presentation of our first half results. But this is obviously for the best as these regulations and resulting payments allow us to structurally improve our profitability, particularly for the street furniture. Regarding our net CapEx in the next slide, they accounted for 9.9% of the revenue in 2023, 9.2% if we exclude the payment of the Shanghai metro advertising rights for €27 million in H1. The ratio is higher than the historical average of around 8%, mainly due to catching up on several contracts. CapEx commitments were deferred during the closing period and also to the impact of inflation across our supply chain. It's worth noting that the financial payment for the Shanghai metro around €25 million has been postponed to 2024 due to the situation in China in 2023.Finally, to conclude, let's touch upon our financial structure, which is solid with a financial net debt almost stable at December 2023, a slight increase of €30 million, mainly due to accrued but unpaid interest on our bonds in the line other of the table on the right side of the slide. Our financial investment and the dividends paid being limited to €3 million and €12.8 million over the period. The net financial debt to operating margin leverage at 1.5x, which is a very reasonable level for our industry. A well-balanced debt profile with predominantly fixed rate debt and an average maturity of nearly 4 years. And lastly, a strong liquidity position at €2.5 billion, including €1.6 billion in available cash and €825 million in confirmed untapped revolving credit line maturing in mid-2026.On that note, I will now hand over to Jean-Charles for our strategy and outlook.
Jean-Charles Decaux: Thank you, David, and good afternoon to everyone. So a clear strategy for growth, as it was pointed out. With this slide, we would like to set out clearly our identity as well as our strategy for the future as we think we are well positioned for profitable growth. Regarding our identity, first, we are, as you know, a company focused on one market, which is OOH, and this market is a growth market, as I will show you in the coming slides. Second, we have ESG at the heart of our business model since inception, which positions us well for the future as we don't need to change. We rather need our position and our business environment to better acknowledge our performances. And third, we are the only global player, undisputed leader in our industry, which gives us an edge for innovation and commercialization at a global scale. Our strategy, as you know, is simple and we want first to increase the share of OOH in the media market as we think that we are all competing for the same ad dollars against online advertising and television, but OOH has its own strength and growth drivers, which would enable to grow its share of the total media mix. Then we have 3 teams to grow in a very disciplined manner, as you know. First, organically by selectively winning new contracts; second, through the digitization of our activity, which is a street stage rocket, as you know. Screen is the first step, but they need data to be more relevant. And then programmatic, which puts us on the level playing field with the online advertising companies, enabling us to compete for a long tail of advertisers. With these 3 steps, we continue to propel our OOH media into the future and keep it relevant at the edge of digital. Our third key strategy deliver the consolidation of our industry, which is natural as it is so fragmented today when you look at it compared to other media. We also want to continue to play an active role in this consolidation process. Now looking more closely at the growth prospects of our industry, you can see on this slide the latest forecast for revenue growth. Over the next 3 years, by ZenithOptimedia, a study that has been released in December 2023. You will see that even in a very challenging macro environment, including the slowdown of online advertising, OOH grew strongly at 5.8% CAGR, including for analogue and at 4.2% for analogue. DOOH at 8.1% is even the fastest-growing media above online. This sets us, as you know, very clearly apart from other traditional media such as TV, radio press, which are forecasted to be close to flat in the coming years. On the next slide, you can find some of the points that should enable us to perform well. We have a premium, limited and very often exclusive inventory, which creates scarcity, especially in the gross sold after period of the year. Our audience, which is young, active and [indiscernible] is growing and it travels more and lives more and more in cities. We are benefiting from the digitization and are improving our measurement method through data. We can be a branding media, but are more and more able to activate sales to drive the efficiency of the campaigns. And last, we offer the best brand safety for advertisers as we have a high level of scrutiny regarding the campaigns we accept and as we are public, media is seen by large audiences. All in all, we combine the strength of the traditional media as in the past with a high reach and a high level of branding power with the growth, flexibility and targeting of online media. What sets us apart is also our business model, invented by our father, which is well integrated in the circular economy now. This business model creates value for all our stakeholders. And we support, as you know, public transport systems, which are positive to fight climate change. This is acknowledged by the EU Green Taxonomy where 48% of our revenue is aligned compared to around 15% on average for other companies and less -- even less in the media sector. We also are pioneering and encouraging soft mobilities through our public bicycle. We improved cleanliness on hygiene in cities through public toilets addressing one of the major issues for cities worldwide. In total, we support many jobs and share a large part of our revenue with our partners. On this slide, you can see that air traffic worldwide should be 3% above 2019 in 2024 and then continue to grow pretty strongly by around 6% per year in 2025 and 2026, which is positive for our activity in airports as it follows closely the number of eyeballs in airport, as shown to you by Jean-Francois earlier today. Moving to Slide 34 now, a quick update on our strong position in China. First, regarding our activities, we have continued in the past 3 years to reinforce selectively our leadership position in the country by winning and renewing major contracts, as you can see on this slide. We now cover 21% of the urban population and we are active in 12 cities, including in the Shanghai metro, the largest metro system in the world with 40 million passengers per day. The very important point to bear in mind is that digitalization remains very low at 21% in 2023 for a country where the bulk of our activity is in transport. Increasing the share of digital can help us achieve satisfactory total revenue growth rate. So as you can see, we remain very confident that our presence in China is a strength and should lead us to higher growth in the coming years. Now obviously, regarding the current situation, as you know, the end of mobility restriction in China happened at the end of 2022 early 2023 and the mobility has first dropped before recovering progressively. It seems far now, but Q1 was still decreasing double-digit compared to 2022. And our activity, as explained, improved from March onwards. Domestic mobility, including metros and domestic airports, has recovered fully since Q1, but international air traffic remains affected by important capacity constraints and visa delivery and so improved throughout the year from 15% in Q1 to 51% in Q4, but still remains well below its pre-COVID level. In this peculiar environment, consumer and advertisers remain cautious. Consumer spending remains below 2019 and advertisers are sometimes reluctant to make important commitments in advance. So obviously and consequently, we are monitoring carefully the situation. Organic became positive in Q4 despite the non-renewal of our Guangzhou contract, which represented close to 15% of total revenue in the country. For 2023, without this scope effect, we are at a double-digit revenue growth rate. So some opportunities for revenue growth from China in 2024, especially with the recent win of the Shenzhen Airport contract, which started in February and the end of the effect of the non-renewals of Guangzhou airport and metro in April. Moving now to another key growth driver with programmatic on the next slide. Programmatic represents a huge $300 billion revenue pool, 85% of online advertising in the U.S., for example. If we can capture a fraction of these markets we are programmatic DOOH offers through our [indiscernible] platforms or through omnichannel such as DV360 or the trade days, this should -- could boost our media as the OOH revenue pool is close to €40 billion globally, as you know. As of now, programmatic represented 8% of total digital revenue. It is already much more important than this average in some important geographies, as you can see, reaching 28.5% in Netherlands, 28.1% in Germany. We think that the penetration of programmatic will continue to increase to be close to these rates on average for our company in the future. The next slide might appear complex, but it is a very -- it is very important to understand our strategy and value proposition and it is often committed. We are at the moment the only OOH company which owns [indiscernible] of its digital value chain and journey. We have our own content management software solution. We have our own data solution. We have our own premium digital inventory. And all of this is supported by a strong cloud-based infrastructure and by committees with a dedicated governance to work in line with the latest trends of the industry. All these interconnected proprietary blocks fueled the state-of-the-art open and competitive DSP and SSP platforms in which we hold a majority stake. So we remain in control of the future of our company even with digital and even in case of evolution of our ecosystem, which might affect its value chain. And more importantly, we think this creates a lot of value for the future of our industry. If we move now to obviously a bigger topic even, which is the AI that is transforming our digital ecosystem in a positive way for us. AI is a tool for us helping us leveraging our position. Our inventory is made of physical assets, which cannot be disrupted by AI, but where AI can help us to reduce our cost and improve our efficiency for the benefit of our advertisers. We are working on more than 50 projects at the moment across all JCDecaux markets in 4 main application domains. One, targeting and optimizing campaigns. Two, visual and text creation for campaign creative. Three, operations and support functions productivity gains. And fourth, unlocking innovative services and solutions for landlords. If we move now in the main tenders activity, the level remain high for vendors, including among the most significant; Rome, street furniture in Stockholm, both in street furniture on transport; TFL, Transport for London, for buses and for the London Underground and the airport of Sydney. Most of them now include, as you know, a significant, not to say the least, share of digital. We have defined and communicated in June our Group climate strategy with strong commitments to reduce our carbon footprint and address the risk of climate change. We are aligned, as you know, with the ambitions of the Paris Agreement 1.5 degree scenario, and we are committed to a science-based target trajectory called SBTi, to achieve a net euro by 2050. We have submitted in December our trajectory to SBTi. And in order to achieve the SBTi targets presented on the slide, we have developed a trajectory based on 3 main action levers. One, regarding the furniture, with the promotion of refurbished furniture and the priority given of low carbon materials in the designer furniture, the evolution of public procurement will be key in order to be able to achieve this goal. So we have to convince the public procurement to process basically through the public tenders. Two, energy, reduce the direct carbon emissions of our operation with commitments to reduce consumption of our financial vehicles in Brazil. Three, travel, optimize our employees business travel as well as community. It is clear that we will not succeed on our own without a substantial change in public procurement to better incorporate non-financial criteria. Moving and looking now at our competitive landscape on Slide 41. We continue to think that our unique international platform, globally position will become more and more differentiating in the age of digital and our programmatic with new frontiers. As some of our competitors continue to focus their portfolio in some markets, we will continue to monitor closely opportunities that could continue to bring us investment opportunities, such as the one we did with the Clear channel in Italy and Spain announced in May. CCO Italy is now closed and under integration and CCO Spain is under review by the Spanish competition authorities. Regarding APG, as you have certainly seen recently following the announcement, APG Board of Directors have decided to initiate a process which is that finding a potential acquirer for the entire company. We confirm that we entered into an agreement with Pargesa Asset Management S.A. to evaluate an intended coordinated disposal of our stakes in APG of 30% and 25.3% respectively. In this context, in case the third-party make an attractive offer, we will consider selling our shares in light of our capital allocation plan into other growth opportunities around the world. As closing remarks, a few of them to conclude this presentation. First, our business momentum has been solid in 2023 despite the difficult macro environment with a strong end of the year, which bodes well into 2024. We have announced our financial performance with improved operating metrics. We will continue to monitor cost and CapEx closely in order to continue to improve our financial metrics in the coming years. For Q1 2024, we have a guidance of around plus 9% organic growth, driven by strong digital revenues with a double-digit organic revenue growth rate in our transport business and a single-digit -- high-single-digit rate for street furniture. We will propose to the AGM not to pay any dividend in 2024 to maintain our financial flexibility for future organic and external bolt-on investment opportunities. Thank you for your attention. And we are now, Jean-Francois, David and I ready to take your questions.
Operator: [Operator Instructions] We will now take the first question from the line of Lisa Yang from Goldman Sachs.
Lisa Yang: So the first one is on basically the normalization I think of margins and free cash flow. So you said revenues I think for this year should be back to 2019 level. You took a lot of cost out in COVID. So the question is like, when do you think we should get back to the 2019 margin levels and also the 2019 free cash flow levels? I understand there was a few moving parts and one-off in recent years. I know you don't give guidance, but I think, obviously given recent fluctuations, I think the market will like some visibility on that. That's the first question. The second one is on the Paris Olympics. I think previously when we had London Olympics, you talked about a €25 million revenue impact. So obviously, France is a much larger country for you. So could you maybe help us quantify the potential incremental benefit from the Olympics? And then on capital allocation, what will basically drive the decision to resume a dividend? Is it mostly the free cash flow generation or is it you're just waiting for M&A? Any clarity would be helpful as well.
Jean-François Decaux: I will take the first question and the third one and Jean-Charles will take the second one. So on margin, as you said in your question, we are not guiding on margin. Of course, we expect to be back to top-line revenue level at the end of this year. This obviously will help the margin, but obviously, we had a profitable business in China pre-COVID, which is not going to be back to pre-COVID top-line level at the end of this year. If you look at the forecast from the main advertising agency, media agencies, they are expecting China to be back to being the largest out-of-home media market by the end of '25. So obviously this will help us to get back to the margin level of 20%. We can't give any commitment on whether it's going to be '25 or '26, but for sure, I mean, the recovery in China will help us to get back there. Bear in mind that the rest of the business is right now doing pretty well across all geographies. And on the free cash flow part of your question, you should know that all our country managers are incentivized on free cash flow. So free cash flow is a main KPI, not operating margin for our country managers. So it's a KPI that we are monitoring very, very closely. As you know, during COVID when revenues dropped by more than 40%, we managed to generate a significant free cash flow. So we are obviously, able to generate free cash flow when times are very, very difficult. And now that the recovery is well underway, obviously, the objective is to be back free cash flow positive. As you mentioned that we had some one-off elements this year, which affected the free cash flow, but it's a very strong KPI for us, and there is no doubt that the Group will generate free cash flow this year and hopefully even more next year. We have had a lot of renewals as well, contract renewals, which I didn't go into the details during the presentation, which obviously, and some postponed CapEx as well from the COVID that when we protected the free cash flow. Hence the comment I made earlier about reducing CapEx during the COVID years in order to still generate some free cash. So all in all, the objective is to be back to plus 20% in operating margin level as soon as possible. But obviously, we need more top line in China. We are long-term in China. This was, as you know, a growth driver of the Group for many, many, many years. The media market is expecting this Chinese market to be back to be the largest one in the end of '25. So that should help. Jean-Charles on the Olympics.
Jean-Charles Decaux: Yes, good afternoon. We will be -- so we are seeing obviously a very positive trend on the Olympics this year. We also as we said at our review release, we saw some, a bit already in 2023 because of our basically a booking system in France where it gives you, on the given week, the priority for the year after next. So some clients already positioned themselves in the summer last year in 2023. So we started to have some -- a bit tailwind from the Olympics and we roughly estimate at the moment, as we speak, between 5% to 6% impact on our total advertising French revenue for the Olympic Games in 2024 and a bit also coming for the Euro Cup in soccer in Germany and Austria. So we will have some bit of a tailwind on this on 2024 in our numbers.
David Bourg: And finally on the dividend, as mentioned in our press release, Lisa, the main reason for not paying a dividend is not the free cash flow situation, is the fact that we want to maintain our financial flexibility. We have a solid balance sheet. The industry is going through the consolidation that we've been waiting for in smaller markets, obviously, but this requires some decisions about where to allocate our capital. But there is no doubt that depending on where we will be allocating this capital in 2024, where there will be more small M&A activities in several countries, doesn't mean that we are going to be buying or making the consolidation in all the markets. Obviously not, but we wanted to maintain that financial flexibility, which is key. As you can see now, Clear Channel has a need to deleverage. So after 22 years of competing aggressively against the JCDecaux in my opinion, buying market share, they are now exiting all markets. As we mentioned to you and to your colleagues in other banks many years ago, I mean, the writing was on the wall when you look at their balance sheet. So we are the only global player left, which we believe is an interesting situation to be in. With programmatic, we see many more multi-market buys, i.e. advertisers taking advantage of a programmatic platform to buy in several markets, which is a trend, which is quite interesting for the market share gains, that out of home is experiencing in a lot of countries. You are covering Stroer as well, in Germany the market share is now 8-plus percent. In Brazil, the market share is increasing. So there is no doubt that in markets where there is some sort of consolidation i.e. duopoly in out of home, competing against the big online companies, we are able to gain market share. And that's why we feel that this consolidation is important for us to drive. And that was the main reason for not to pay any dividends, bearing in mind that not paying any dividend is affecting the main shareholder, which is our family, at nearly 67%. But I can tell you in conclusion that free cash flow -- when the free cash flow is positive, taking into account those potential M&A activities, there is no doubt that we will resume the dividend.
Operator: We will now take the next question from the line of Conor O’Shea from Kepler Cheuvreux.
Conor O’Shea: I have 3 questions as well from my side. First question, just in terms of the spend by sector, are you seeing any slowing down in the growth in spend from the luxury sector? I think we've had 1 or 2 of those prominent names suggesting that they might be coming back a little bit on the growth in spend going forward compared with previous years. That's the first question. Secondly, just on the billboard business, can we have a sense of what you might expect, say, in a range? And I know, you're not giving annual guidance, but any improvement likely in 2024, either in organic growth or in margins? Or are you still in the kind of rationalization phase of that business? And then third question, just a couple of questions on cash flow, maybe for David. CapEx guidance for 2024. And also, can you give us a sense, I think of the €600 million bond maturity in 2024, can you just remind us what rate you currently pay on that bond?
Jean-François Decaux: Jean-Charles will take the first question, given that most of the luxury companies are based in Paris and in France. I take the second question on the billboard, and David will take the third question on CapEx and cash flow.
Jean-Charles Decaux: Yes. Conor, thank you for your questions. On the luxury, we have seen, as you know, and as you have noticed in our presentation, I think, over the last few years, continuous, I would say, acceleration in the luxury spending with some, obviously, a bit of slowdown in the travel retail in China, for obvious reasons that have been discussed earlier. But we don't see at the moment, to answer precisely your question, we don't see at the moment any slowdown, even though we see some reallocation from travel retail, in some geographies to the domestic markets. So overall, we still see a very dynamic luxury environment. And so we don't see in our numbers going forward, basically slow down. And we see that this is more because of, obviously, the Olympics, we see a strong dynamic in the luxury environment or in the accessible luxury environment during the -- before and during the Olympics. So we see that our medium is quite -- is one of the most preferred medium for luxury brands around the globe and across the globe, mainly for European brands, but also from U.S. brands or -- and so we still see JCDecaux as one of, if not the most preferred partner for that category of clients. And when I say luxury, it's beyond luxury, it's skincare, obviously cosmetic, dermal cosmetic, that are very strong in our portfolio, reaching a record high level of contribution in our category span of 20%. That has never been achieved before in the past, with one single category going to up to 20%. So I think this is encouraging. This is a larger category than before now with the skincare and the dermal cosmetic. So this is going into the right direction as we speak.
Jean-François Decaux: Okay, regarding your second question on billboard, we have an issue with the French rationalization and regulation, which maybe Jean-Charles can be more specific on this part of your question. But if you exclude France, the operating margin in our billboard business would have been around 17%. And you might remember, but a few years ago, when we started the rationalization and digitization of the U.K. billboard business, we had a slide in our deck showing that the U.K. margin was at about 25%. So it's very clear that the name of the game for our billboard business is to digitize. Less is more. When we acquired the Mills & Allen Group in the U.K. in 1999, we had 10,000 billboards. We now have 1,000, 30% of which are digital, roughly 25%, 30% of which are digital. So we have 90% less billboards in the U.K., generating better margins and good returns. So we are able to do this in the U.S., in Australia, in Mexico, in many markets. But unfortunately, right now, for various reasons that Jean-Charles maybe can explain in the second part of the answer to your question, this is not possible. And given the size of the French billboard business, this is a drag on our margin. But the billboard business in countries where we are digital is a profitable business. Not as profitable in the U.S. for the reasons that you know that in the U.S., you have a lot of non-conforming billboard leases, which means that when landlords want to renew their leases if they take down the billboard, it cannot be rebuilt. Meaning that incumbent, the guy, the company that operates the billboard on the land of the landlord, has a huge leverage on the contract renegotiation, on the rent renegotiation, that doesn't exist anywhere else in the world. That's why there is a margin difference between European billboard companies and U.S. billboard companies. So on the French billboard situation, Jean-Charles, you...
Jean-Charles Decaux: Yes, on the French situation, at the end of the day, it's quite simple. It's all said in our press release, it's a combination of 2 factors. One, reduction of sites due to the regulation. So we have less sites than before. So in the transition mode, you lose your revenues. And basically, the fact that we are not digitalizing in the French market, given the French context. So, I mean, what is benefiting from this is certainly the street furniture. So you have a kind of rebalance in the market. So street furniture is gaining market share in France big time, if you look back 5 years down the road, unfortunately impacting also the billboard transition that we are in. So we are in the transition mode because the regulation will end up by 2025, where you will be -- you will have to be in conformity with the latest regulation published both at the national level and the local level. And we start this operation 2 years ago already. So 2022, 2023, '24, '25. And so, we hope that we will find basically a new equilibrium in this phase one, this site scaling will be finalized, which will still take 2024 and beginning of 2025.So it is clear -- it is fair to say that the French, let's say, billboard environment will always be basically, it will hardly be at the level of the average group margin on billboard structurally. So it will take time to basically fix this. But this is something that we are obviously improving year-on-year with not only cost reduction, but also rent renegotiations. And this is quite encouraging because we see, obviously, that by bringing the patrimony down to a certain level, we have a much more cost efficient base. So that's something that we are working on, but that's not new. But this is work in progress, let's say.
Jean-François Decaux: David on cash CapEx.
David Bourg: Good afternoon, [Conor]. As you know, we don't normally give any guidance on the CapEx, but because at this time of the year, not easy to have a clear visibility, because it will depend a lot on opportunities to come and also the tension on the supply chain. But without giving any guidance, I can give a bit of color. We are working on to be in a range of what we did in 2023. This is what we are working on, excluding obviously, any significant opportunities that could come and that we could decide to size. But as you know, and as reminded by Jean-Francois, free cash flow is a clear focus for the company and for the team, and for the management team. It is a key driver in the free cash flow. And obviously, we know that if we want to boost our free cash flow, CapEx needs to stay in the range where we have been in 2023. So this is what we are working on. And we will continue to be very selective on our investment. But if we see a good opportunity, which could bring a significant return to our shareholders, this is something that obviously we will get very seriously. Regarding, Conor, your question on the bond, which is maturing in October, the interest rate on this bond is 2%. And as you know, we have the cash in our balance sheet in order to fully cover this bond, because we have €1.6 billion on hand. And so, we will use this cash, as we said, in order to repay this bond. So it's not an issue. But to answer to your --precisely to your question, it is 2%.
Operator: [Operator Instructions] We will now take the next question from the line of Annick Maas from Societe Generale.
Annick Maas: My first question is, you were speaking about financial flexibility. So why are you not actually -- why do you plan to sell the APG stake instead of increasing it? Particularly that your competitor has changed in the Swiss market, so that might make the market a bit more rational. My second one is on the Shenzhen airport. You won that airport and not in a JV, which is relatively uncommon for you guys, and against an Asian JV previously. So that's quite an achievement. So can you maybe explain us what happened there and why you went for this structure? And then the last one is just programmatic, keeps on growing. Can you tell us who are the advertisers that are actually spending programmatically? Are these advertisers that were with you already in the traditional world, or are they actually totally new companies?
Jean-François Decaux: Thank you, Annick. Good afternoon. I will take the first question on APG. Jean-Charles will take the second on Shenzhen. I will take the last one on programmatic. So, on APG, we haven't decided what we are going to do, if we're going to stay on board or if we're going to sell. As indicated in our press release, we've been kind of a financial investor in this company for many, many years. At the beginning we -- this deal, which I did back in early 2000, helped us to consolidate a bit of Germany, because Stuttgart, for example, was part of APG. They also had a presence in some Eastern European countries like Slovakia, Czech Republic, which we're able to take over. But I said many times, and I'm on record for saying that we are not interested in increasing our stake in APG. And so, that's why the scenario of buying the remaining 70% for right now, the market cap of APG is around CHF 600 million, given the strength of the Swiss francs it's about €700 million. So you can do the math yourself. It's a big ticket, and we believe that we have probably better opportunities to deploy the cash in the context of a cash allocation in some other markets where we would benefit from consolidation. The market in Switzerland is fully consolidated. APG has about 60% market share, and Tamedia, which took over Clear Channel last year, has about 25%. APG couldn't bid for Clear Channel given the 60% market share and the fact that the market definition is, unfortunately, it's surreal, but it's still out of home on the standalone. And therefore they didn't even bother to bid for the Clear Channel assets in Switzerland. I know consolidation in Swiss market, so we prefer to probably put this money at work in markets where we can consolidate, i.e. the deal in Italy, which we did at 6.7x pre-synergies, which we believe is a good deal, and we can see the benefits of this deal already. And that's why we've indicated in our press release that depending on the offer, we will either stay on board or sell together with Pargesa, our 30% stake.
Jean-Charles Decaux: Regarding Shenzhen -- good afternoon, Annick, now Shenzhen is part of our, I would say, strategy in China, where as you can see, we have both. We have one model, which is a joint venture, and the other model, which is a concession-driven. For example, Beijing was concession where Shanghai was a joint venture. So we are pretty much open onto the 2 scenarios. And on the Shenzhen airport, they were unhappy with their local Chinese partner, and decided they had an option to renew the contract with their JV operator because they were operated under JV and they decided not to renew and they decided to go with us basically for this new contract. So it's not a change. The good news of Shenzhen and the reason why we wanted to position ourselves for many years in Shenzhen is this is basically, as you know, the technology, the tech city of China, this is a city where out of the [53 million] tax a year, [51 million] are domestic tax. So just [ 2 million ] are non-domestic tax, are international tax. So it's a pretty young-generation tech airport and mainly driven by domestic demand, which is very good. And actually, I can tell you that we took over in the 1st of February and already we have a very strong demand for that airport. So it's very positive. And that's also rebalancing basically our airport portfolio, as we said several times since the COVID situation, being more exposed to the domestic than exposed to the international, even though we keep obviously, our partnership with international airports such as Beijing airport, such as Shanghai airport, but that also driven by domestic demand. So we focus our development more in domestic now in China than in international. That's our aim, adjusting basically versus the dynamic of the market at the moment.
Jean-François Decaux: Concerning your third question on programmatic, if you can go to Slide 14, which was part of the introduction of the presentation today, you can see 6 visuals. So Harman Kardon, as an example, is a small brand, was programmatic. We never ever had Harman Kardon as a customer before. [indiscernible], same story. Bradesco, same story. Persil is a long-term customer of out of home, starting in Germany many, many, many years ago on classic out of home. BYD is the Chinese brand, hence my comment on automotive. And they do both. They do broadcast, they use out of home as broadcast, but also programmatic. And Cathay Pacific, same story. So it's a combination of existing customers, which are enhancing their budget for certain targeted campaigns, which they want to display, and some new money from smaller budgets that we couldn't serve in the past.
Operator: We will now take the next question from the line of Lisa Yang from Goldman Sachs.
Lisa Yang: I just have a quick follow-up question. Just on the Q1 guidance, could you maybe just explain a little bit, like how much sort of cushion you're baking in, because obviously in Q4 you guided to 6% and you did 10%. So just wondering like how big now is basically the late money, and yes, what sort of variability we could expect versus that 9%?
Jean-François Decaux: Welcome back into the call, Lisa. But I know that as soon as we give a guidance, you guys yourself tend to enhance our guidance or expectations by 100 basis points, 150 basis points. The benefit of digital is that we are getting late money, which we didn't get in the past. And the late money is very hard to predict, including obviously programmatic. When we gave you the guidance at 6%, on my grandchildren I can swear that this was the pacing we had at that time, and we were surprised internally by the strength of December, which is always a good month, but it's hard to predict. So we don't build any cushion as implied in your question. And the 9%, we had the debate yesterday with my brother and the rest of the board and Remi and David, and where is 9%, 10%? Are we going to deliver 10%? Maybe we're going to deliver 10%, but right now we've seen our pacing numbers, which we receive every Monday from 82 countries around the world, that we are around plus 9%. That's why we got at around 9%. Now, are we going to deliver much better? I mean, Q4 last year was an extreme example, probably because we always get some late money, but we wanted to -- we didn't want to -- that it would have been a first time if all of a sudden we start to include in our guidance some money, which we don't see in the pacings, in the weekly pacings. And we don't want to do that. We prefer to be on the safe side. We missed, I think, since 2001 when we went public, I think we missed only 2 guidance, which is quite a good track record. So we knew that by being slightly below the consensus, which consensus is built in a very strange way between you and me, we were going to be disappointing the market. But it is what it is, under promise over deliver, as you know better than me. But right now we gave you a bit of color on the plus 9%, which we are not going to give on every quarter because, obviously, Q1 is a quarter where we are already 2 months plus 1 week into the quarter. Normally the other quarters we have to guide a bit earlier in the quarter. So we told you strong digital growth, so it's very strong in Q1 obviously. Analogue -- doesn't mean that analogue is declining, but analogue is a bit better than flap, but analogue is still 66% of our business. So we mentioned in our press release, double-digit in transport. I know that the consensus is at 20%. We are not at 20% right now. We are double-digit, so we are above 10%, but we are not at 20%. And that's mainly because of the slow recovery in China. And in our street furniture, the consensus is at around 5%, plus 5%, and we are high single-digit. We are much higher than the consensus. So this is what I can tell you -- how I can answer your question.
Operator: We will now take the next question from the line of Benjamin Yokyong-Zoega from Deutsche Bank.
Benjamin Yokyong-Zoega: Just 2 questions, please. Firstly, on the contract portfolio, are there particular segments and markets such as billboard in France, where you would say renegotiating contracts is a particular priority. And then secondly, just on working capital, I appreciate you may not be able to provide exact guidance, but is there any color you could provide on the shape of working capital and any impacts from rent renegotiations into 2024?
Jean-François Decaux: Okay. Thank you, Benjamin. Jean-Charles will take the first question on portfolio in France. And David, the second question on working capital.
Jean-Charles Decaux: Yes, as you can imagine, we are continuously basically trimming and renegotiating some contracts when it's convenient, obviously, and when it's needed. So it is clear that given the process of the reduction of sites in the French billboard market, the reduction and the renegotiation of some contracts is completely on the agenda. But it has been on the agenda for quite some time. So this is something that we are currently pursuing. And I can confirm that the rent basically is getting down on the large format in France. And so, this is something that also will continue and will intensify, I must say, in 2024 and 2025, as the plan of culling sites and reducing sites is progressing, and I would say is finishing in 2025.So, yes, contract renegotiation is part of the agenda of the French billboard, but not only, you have also other contracts that are, as it was said by David this morning, it is always part of when the circumstances obviously allow us to do it, we are doing it on a continuous basis. This is -- we are like managing our assets, obviously, to adapt and reshape sometimes, especially when structural, especially when there is a change in regulation, like in the French context, we are doing so.
David Bourg: Yes, regarding the working capital, as we mentioned at -- when we presented our actual financial result, we said that we had one-off items, which were the payments related to the contract renegotiation affecting the working capital by almost €100 million. When you look at the impact of the working capital on the free cash flow in 2024 full year, this time it was €124 million. So the major part is coming from this one-off payments. It was the case at the end of June 2023, when I had the question, I said clearly, without giving any guidance, that normally the working capital should come back to a more normalized level. And it was the case for H2, as you could see, because at the end of the day, the main impact on the working capital is the one-off payments. So going forward, without giving any guidance, there is no reason not to have a working capital, which we continue to evolve with the business activities. So if the business continue and the business momentum continue to be good, there will be a slight impact on the working capital, especially on the credit receivables, because we are already at a level which is very low in term of DSO, so we don't have so much room to maneuver. But it will be not so meaningful, I guess. And regarding the other lever that we have on the working capital, it is mainly the inventory. We have a bit of room on the inventory to optimize, but it won't be material. If you exclude the one-off payment that we had in 2023, you look at the working -- the normalized working capital variation is quite reasonable, given the increase in the activity.
Operator: We will now take the next question from the line of Conor O’Shea from Kepler Cheuvreux.
Conor O’Shea: I've got 2 more follow-up questions, if I may. And one question on the projects that you mentioned, Jean-Charles, on the artificial intelligence, are they self-financing or is there a bit of investment I think David was mentioning a bit more salary pressure from sort of digital staff. Is that part of that? Is there a step up in 2024 versus 2023 initially, before some of the productivity gains come through? And then just a second question for David on the depreciation, which decreased I think significantly year-on-year. I think in the slides you mentioned that because of lower inflation, the cost of dismantling, I think the billboard came down. But wonder if you could just explain a little bit more the thinking behind that?
Jean-François Decaux: Jean-Charles will take the first question on AI, and David will take the second one.
Jean-Charles Decaux: Yes, on AI, no, we are doing that with our current teams for sure, as it was explained in the presentation. This is something where we have basically our data specialists, our IT people, and we are working on projects, on very concrete projects to use AI, Generative AI obviously with our own model, and we are not going onto basically public platform. We are training our own model on some of our, let's say, key verticals where we think we can do some productivity gain, some product enhancement, both for advertisers and for our city's partners. And this is something we are doing with our own talent internally, plus obviously sometimes some consultants externally. But we decided -- because we decided to create, pioneer and further develop our platform, both on VIOOH, also on display, also on the digital teams, we have the very skilled people inside company able to tackle those topics at the moment. And we will see obviously during 2024 at what scale and how fast we want to build upon those projects. And we will certainly extend that further in the future. But at the moment it's done with our current teams in the diverse area that I've been referring to, Conor.
David Bourg: Yes. And O'Conor, regarding your question on depreciation in our tangible and intangible, we have included, as you know, our provision and related asset to the dismantling when we have the ownership of the furniture at the end of the contract. And this, let's say liability and asset should be re-evaluated on a yearly basis based on the discount rate, as you can imagine, because you have to evaluate the provision and the counterpart, which is the asset on a long-term basis. And this year, given the swing in inflation over the last 18 months, we had to re-evaluate the discount rate and as well as inflation rate that we are taking into account, in order the inflation rate to assess the cost of dismantling, and to project the cost of dismantling at the end of the contract. And the average rate and inflation -- discount rate and inflation rate that we took for 2023 was lower for the inflation rate, which is a little bit counterintuitive. But on an annual basis, it was lower. And for the interest rate, it was at the opposite a little bit higher, but to a lesser extent. Bottom line, there was a reduction of the asset and a reduction of the depreciation accordingly, which has reduced this amortization line by about €18 million. The rest of the reduction, which is about €6 million, is mainly due to the fact that we have been continuing operating and extending some contracts where the assets are already fully depreciated. So that's why the basis of the asset related to the depreciation is lower than what it was before. So, on a normative basis, what you should take going forward should be more the basis of depreciation that we have in 2023, that's the one that we had in 2024, if it is the question -- sorry the answer that you are looking for behind your question.
Conor O’Shea: For sure. But does that mean that if inflation rate say goes back to pre-pandemic, it will increase in 2 years time or something maybe.
David Bourg: Yes, but it has been quite stable, what we have been facing over the last 4 years, it's quite -- I shouldn't say unprecedented, but over the last 10 years, yes, I can say so. So this is something that we are reviewing on a regular basis with our auditors, as you can imagine. So we do not expect for 2024 swing as we had in 2023.
Operator: Thank you. There are no further questions at this time. I would like to turn the conference back to Jean-Francois Decaux for closing remarks.
Jean-François Decaux: Thank you. Thank you for all your questions. And we are going to be on the road with David and Jean-Charles, David and Remi, so we look forward to seeing some of you over the next couple of weeks. And well, all the best, and speak soon. Thank you. Bye-bye.